Operator: Good day, ladies and gentlemen. Welcome to the TransCanada Corporation 2014 First Quarter Results Conference Call. I would now like to turn the meeting over to Mr. David Moneta, Vice President of Investor Relations. Please go ahead, Mr. Moneta.
David Moneta : Thanks very much, and good afternoon, everyone. I’d like to welcome you to TransCanada’s 2014 First Quarter Conference Call. With me today are Russ Girling, President and Chief Executive Officer; Don Marchand, our Chief Financial Officer; Alex Pourbaix, President of Development; Karl Johannson, President, Natural Gas Pipelines; Paul Miller, President, Liquids Pipelines; Bill Taylor, President of Energy and Glenn Menuz, our Vice President & Controller. Russ and Don will begin today with some opening comments on our financial results and certain other Company developments. Please note that a slide presentation will accompany their remarks. A copy of the presentation is available on our Web site at transcanada.com. It can be found in the Investor section under the heading Events & Presentations. Following their prepared remarks, we will turn the call over to the conference coordinator for your questions. During the question-and-answer period, we’ll take questions from the investment community first, followed by the media. In order to provide everyone with an equal opportunity to participate, we ask that you limit yourself to two questions. If you have additional questions please re-enter the queue. Also, we ask that you focus your questions on our industry, our corporate strategy, recent developments and key elements of our financial performance. If you have detailed questions relating to some of our smaller operations or your detailed financial models, Lee and I would be pleased to discuss them with you following the call. Before Russ begins, I’d like to remind you that our remarks today will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please see the reports filed by TransCanada with Canadian Securities Regulators and with the U.S. Securities Exchange Commission. And finally, I’d also like to point out that during the presentation, we’ll refer to measures such as comparable earnings; comparable earnings per share; earnings before interest, taxes, depreciation and amortization or EBITDA; comparable EBITDA and funds generated from operations. These and certain other comparable measures do not have any standardized meaning under GAAP and are therefore considered to be non-GAAP measures. As a result, they may not be comparable to similar measures presented by other entities. These measures are used to provide you with additional information on TransCanada’s operating performance, liquidity and its ability to generate funds to finance its operations. With that, I’ll now turn the call over to Russ.
Russ Girling: Thanks David and good afternoon everyone and thank you very much for joining us. Earlier today I delivered my annual addressed here in Calgary to our shareholders our investors, analysts, employees and others via the Web. And my message to them was quite simple, our strategy is working, 2013 was an unprecedented year of opportunity at TransCanada as we announced $19 billion of new projects expanding our growth portfolio to $36 billion. Our strategic focus is clear as I said is to complete these projects and bring them into operation. We expect to bring $3.6 billion of those assets into service in 2014, these include the $2.6 billion Keystone Gulf Coast Extension which began transporting crude, January 22nd and then Tamazunchale pipeline extension and further expansions of the NGTL system at four of our solar power facilities in Ontario. We expect that the remaining 35 billion of projects will become operational over the remainder of the decade and that they will generate significant growth in earnings and cash flow. Focusing for a couple of seconds on the first quarter results, comparable earnings were $422 million or $0.60 a share, a 15% increase on a per share basis compared to the same period in 2013. I’m pleased to announce that we had another very strong first three months with cash, comparable EBITDA was $1.4 billion and funds generated from operations were $1.1 billion a 20% increase compared to the same period last year. Today the Board of Directors declared a quarterly dividend of $0.48 per common share for the quarter ending June 30, 2014. That equates to a $1.92 per share on an annualized basis. TransCanada performed well in the first quarter due to strong performance of our base existing assets, a very cold winter resulted in strong demand for our natural gas and power facilities which provide power to many residents across North America, I think underscoring their critical value to the North America economy. Don will discuss our results in much more detail in a few minutes but before he does that I’d like to touch on our progress on a number of our major projects. First, I’m pleased to mention the start up of our Gulf Coast extension. It began crude as I said to refineries in Texas on January 22nd. We expect that pipeline to have the capacity to deliver an average 520,000 barrels a day in the first full year of operation as we ramp-up to full delivery capability of 700,000 barrels a day. The extension is an important facility as it helps the United States expand its infrastructure network with a hi-tech pipeline that will grow, will ship growing supplies of American oil along with Canadian oil to markets. Turning to Keystone XL, where the permitting processes has again been delayed, on April 18th the U.S. State Department announced that it needs more time to gather input from eight Federal agencies with respect to the national interest determination period, they need time to process the 2.5 million public comments received and to better understand certain legal issues in Nebraska. In our view this delay is inexplicable, the first leg of our Keystone system took just over 600 days to review and approve. Now after more than 2,000 days, five exhaustive environmental reviews and over 17,000 cases of scientific data, the review process continues to be delayed. In Nebraska, the current route approved by the state’s Department to Environmental Quality is still valid as the lower court ruling is under appeal. The state’s Supreme Court should hear arguments in the fall with an expected decision at year-end. A majority of Americans support this pipeline and the project has strong bipartisan Congressional support. Our shippers do remain 100% behind the project and poll-after-poll since 2011 continues to find an average of 65% Americans support Keystone XL and they want to see it build. In the state departments Final Environmental Impact Statement issued in January included Keystone XL will have minimal impact on environment. As a result of the delays the $5.4 billion cost estimate for Keystone XL will increase if any other timing of the actual permit. As of March 31, 2014 we had invested $2.3 billion into the project. We anticipate the pipeline would be operational approximately two years after we receive the presidential permit. I continue to believe that the facts will prevail at the end of the day and we will eventually receive a presidential permit. We continue to make great progress on the $12 billion Energy East project an important milestone occurred in March when we filed the project description with the National Energy Board. Prior to the filing of full facility application for this initiative with NEB in the next few months we will continue to consult with 1000s of stakeholders along the 4,600 kilometer route. We will hold dozens of public open houses and many more face-to-face discussions to ensure all stakeholders’ concerns are incorporate into our design. The 1.1 million barrel a day pipeline will transport oil from Western Canada to Eastern Canadian refineries and export terminals in Quebec and New Brunswick creating jobs, cash revenue and energy security for Canadians. And those benefits are substantial, they include 35 billion in additional gross domestic product for Canada more than 10,000 full time jobs during the development and construction phases, a 1,000 more jobs once the pipeline is operating and $10 billion in cash revenues for all levels of government over the lifetime of the project. Most people don’t know that in Canada we import over 700,000 barrels of oil each day from foreign countries. Energy East, will allow us to push out this foreign oil creating the opportunity for Canada to use and refine its own resources, something that benefits all of us from coast-to-coast-to-coast. Our plan is to file our application this summer with the intent of obtaining regulatory approval sometime in early 2016 based on that schedule we plan to bring the pipeline into service to Quebec in early 2018 and to New Brunswick later in 2018. Moving to the gas side of our business where the mainline volumes have been rising, delivery volumes in the first quarter of 2014 were 5.9 billion cubic feet a day, compared to 4.7 billion cubic feet a day during the same period last year. As a result of the pricing discretion provided by the NEB’s ruling TransCanada has been able to move the contracted subscribers on the Canadian mainline to 3.5 Bcf a day and reach a longer term settlement with its eastern Canadian customers. In late March, the National Energy Board responded to the local distribution companies or LBC settlement application we filed in December of 2013. The regulator offered two options to process the application. TransCanada can continue the application as a contested tolls application or make an amended application with more information. The Company has now made a decision to re-file an amended application with additional supplemental information in the second quarter of this year. We continue to believe this settlement is a great benefit to all stakeholders and we remain confident in its ultimate approval. Moving over to the NGTL system where we continue to expand the critical network of pipe $400 million in expansion projects are currently in various stages of development and construction. In addition, we have approximately $1.8 billion of projects in, that have been applied for but not yet approved. Those include our $1.7 billion a North Montney project. In early February, we received a hearing order for that project and that hearing will begin in August. A 300 kilometer pipeline will connect to the Prince Rupert Gas Transmission project. And which is proposed to supply natural gas to the proposed Pacific Northwest LNG export facility near Prince Rupert, for the North Montney project we’ve signed a 2 billion cubic feet a day of contracts with Progress Energy. With respect to our BC LNG pipeline projects both the Coastal GasLink project and the Prince Rupert Gas Transmission project have achieved important milestones over the quarter, the environmental assessment applications for both projects were submitted to the BC Environmental Assessment Office and the BC Oil & Gas Commission. The 5 billion Prince Rupert Gas Transmission project and the $4 billion Coastal GasLink project are expected to be operational in the later part of this decade. Moving over to the United States, it’s been a very productive spring for the ANR Pipeline with the announcements that we had secured 2 billion cubic feet a day of firm 20 year plus natural gas contracts on the system’s southeast mainline. These contracts will enable growing Utica and Marcellus Shale gas supplies to move to northern markets but as well southbound to meet the growing demand for L&G export from the U.S. Gulf Coast. TransCanada is now assessing further request for service which could result in further expansions of the ANR system. Moving up to Alaska, we received some very positive news two weeks ago concerning the Alaska pipeline project with the approval of Senate bill 138, the approval means the Alaska government and TransCanada will now be able to move forward with agreements to transition from the AGIA license to a new structure as set out in heads of agreement that was signed by ExxonMobil, BP, Conoco-Phillips, TransCanada, the Alaska Gasline Development Corporation and Alaska’s Commissioners of Natural Resources and then Commissioner of Revenue. That agreement was signed in January. The agreement lays out the commercial framework for the development of an 800 mile natural gas pipeline to transport gas from the Alaska North Slope to an LNG plant on the state’s south central coast. Moving over to power, in 2011 we agreed to buy nine solar projects from Canadian Solar Solutions. The combined capacity of those nine projects is 86 megawatts at a cost of $500 million. We acquired four of those projects in 2013 and expect to acquire four more in the fourth quarter of 2014. The deal to purchase the ninth and final facility should close in mid-2015. All nine facilities will complement TransCanada’s existing operations in Ontario. The new renewable energy produced from those projects will be sold to the Ontario Power Authority, under a 20 year power purchase agreements. In conclusion, our diverse portfolio of energy infrastructure assets generated strong earnings and cash flow in 2013. The trend continued in the first quarter of 2014 with comparable earnings of 422 million or $0.60 per share, a 15% increase compared to the same period in 2013, funds generated from operations were also up 20% to $1.1 billion. Today we are advancing $36 billion of commercially secured capital projects. We expect this high quality portfolio of contracted projects to generate significant growth in earnings and cash flow between now and the end of the decade. I can tell you we’re focused on delivering on that expectation and our folks are working as hard as they can to make that happen. I’ll now turn the call over to our Chief Financial Officer, Don Marchand who’ll offer details on our financial performance, Don?
Don Marchand: Thanks Russ and good afternoon everyone. Before I review our Q1 results in detail I’d like to highlight a few key messages. We’re pleased to report another solid quarter across all of our business segments. Our assets performed well during this unseasonably cold winter, a clear demonstration of their importance and value to the overall infrastructure grid in North America, on January 22nd the US$2.6 billion Keystone Gulf Coast Extension commenced commercial operations and began contributing to earnings and cash flow. Another $1 billion of new assets are expected to positively impact results later this year as they are brought into service. They include the Tamazunchale pipeline extension, ongoing expansions of the NGTL system and the acquisition of four more Ontario solar facilities. We remain highly focused on advancing the remainder of our $36 billion portfolio of high quality, long life energy infrastructure growth opportunities. All of these projects are underpinned by long-term contracts or cost of service business models and are expected to result in significant growth in earnings, cash flow and dividends over the remainder of the decade. And finally, we remain well positioned to fund our current capital program with predictable and growing cash flow, strong balance sheet and access to multiple attractive external funding sources. Now moving to our consolidated results shown on the next slide, comparable earnings in the first quarter of $422 million or $0.60 per share increased $52 million or $0.08 per share compared to the same period in 2013, this 15% increase in comparable EPS was primarily due to a higher allowed return on equity and the higher average investment base on the NGTL system, the start up of the Keystone Gulf Coast Extension in January, higher realized capacity and power prices in U.S. power, and higher equity income from Bruce Power due to lower plant outage days at Bruce A and B. This was partially offset by higher operating costs and lower storage revenues at ANR, and increased interest expense due to new debt issuances. Turning to our business segment results at the EBITDA level. Our natural gas pipelines business generated comparable EBITDA of 848 million in the first quarter of 2014, compared to 746 million for the same period last year. Canadian gas pipelines’ EBITDA of 566 million increased 69 million compared to 2013. Improved results were primarily due to a higher average investment base, and a higher allowed return on equity of 10.1% on the NGTL system. Those two items led to higher EBITDA from the Canadian mainline but do not have an impact on net income. U.S. and international gas pipelines’ EBITDA of 291 million increased 33 million compared to first quarter 2013 primarily as a result of higher revenues at Great Lakes due to cold weather this winter. Currency translation also had a positive impact as a result of a stronger U.S. dollar. Partially offsetting the increase in EBITDA in U.S. pipelines were lower storage revenues and the higher operating cost at ANR. Turning to Liquids Pipelines, the Keystone pipeline system generated 248 million of EBITDA in the first quarter with the $62 million year-over-year increase primarily a result of the commercial in-service of the Keystone Gulf Coast Extension on January 22nd and the favorable impact of a stronger U.S. dollar. The start up of the Gulf Coast Extension is another significant milestone in advancing our capital program. And we’re pleased to have this asset now contributing to earnings and cash flow. For 2014 the Gulf Coast extension is expected to generate approximately US250 million of EBITDA largely underpinned by contractual commitments. In energy, comparable EBITDA was 345 million in the first quarter compared to 277 million for the same period last year. The $68 million increase was the result of the combination of positive factors. Bruce Power’s equity income rose 33 million reflecting fewer plant outage days at Bruce B as well as from Bruce A’s unit 4 which was undergoing a plant life extension outage in the year ago period. U.S. power also generated improved results in the first quarter compared to last year. The $26 million increase in EBITDA was primarily due to higher realized capacity prices in New York and the higher realized power prices in both New England and New York partially offset by higher fuel cost at Ravenswood. Natural Gas Storage generated a solid quarter improving 9 million year-over-year, driven by increased volumes at higher realized storage spreads. Now turning to the other income statement items on Slide 21, comparable interest expense increased 17 million in the first quarter to $274 million. This increase was principally due to interest charges on recent U.S. debt issues and the higher foreign exchange on translated interest denominated in U.S. dollar. This was partially offset by Canadian and U.S. dollar debt maturities and increased capitalized interest. As a reminder, exposure to U.S. dollar income is largely offset with U.S. dollars denominated interest expense and financial derivatives, the net effect of which is that currency movements do not have a material impact on earnings over a rolling 12 month forward period. In the first quarter $79 million of interest was capitalized to assets under construction compared to 55 million for the same period in 2013. This reflects higher capitalized interest for Keystone XL as well as Mexican LNG and other liquids pipeline projects partially offset by completion of the Gulf Coast Extension of the Keystone system. Comparable interest income and other for the first quarter this year decreased 24 million compared to 2013 due to higher realized losses on derivatives used to manage our net exposure to foreign exchange fluctuations on U.S. dollar income. Comparable income tax for first quarter 2014 increased $65 million compared to the same period last year due to higher pretax earnings combined with changes in the proportion of income earned in higher tax jurisdictions as well as higher flow through taxes on Canadian regulated pipelines. Excluding Canadian regulatory flow through pipelines the effective tax rate was approximately 27% in the quarter. Net income attributable to non-controlling interest rose 23 million in the first quarter compared to the same period last year, due to the partial sale of GTN and Bison last July to our MLP, TC PipeLines. Preferred share dividends of 23 million were 8 million higher in first quarter 2014 as a result of the $600 million Series 7 and $450 million Series 9 issuances in March 2013 and January 2014 respectively. Now moving on to cash flow and investing activities on Slide 22. Cash flow was once again very strong primarily due to increased earnings across all business segments in the period and higher distributions and equity investments. Funds generated from operations exceeded 1.1 billion in the quarter, representing a 20% increase over the same period last year. Turning to investing activities, capital expenditures were 778 million in the first quarter driven principally by the Gulf Coast Extension, expansion projects on the NGTL system and construction of our Mexican pipelines. Equity investments of 89 million in the quarter reflect increased investment in the Grand Rapids pipeline. Now turning to Slide 23, our liquidity and access to capital markets remains solid. At the end of the first quarter, our consolidated capital structure consisted of 40% common equity, 5% preferred shares, 2% junior subordinated notes and 53% debt net of cash. At March 31 we had $740 million of cash on-hand along with $5 billion of committed and undrawn revolving bank lines available at our high quality bank group. Our two commercial paper programs one in Canada and one in the U.S. remain well supported and continue to provide flexible and very attractive sources of short-term funds. In January, we completed $450 million preferred share issue in Canada. The Series 9 cumulative redeemable first preferred shares have an initial dividend rate of 4.25% which is fixed to October 2019. In February we issued US$1.25 billion of 20 year senior notes bearing interest of 4.625%. In March we redeemed at par all the outstanding 5.6% TCPL Series Y first preferred shares. The total face value of the outstanding shares was $200 million and they carried in aggregate of $11 million in annualized dividends. And finally we closed the sale of Cancarb and its related power generation facility on April 15th for $190 million and expect to realize an after tax gain of approximately $95 million in our second quarter results. Also in the second quarter we expect to record a $33 billion after tax charge for the yearly contract termination of 38 billion cubic feet of leased natural gas storage capacity effective April 30, 2014, starting on May 1, we have reentered into a new arrangement for reduced average volume at lower rates for a six year term. Looking forward, we remain well positioned to finance our capital program through funds generated from operations, new senior debt, as well as subordinated capital in the form of additional preferred shares, hybrid securities and portfolio management, which includes the dropdown of all of our U.S. natural gas pipeline assets in to TC PipeLines LP on a systemic basis over the next several years. In closing, the Company produced a very strong quarter with comparable earnings per share and funds generated from operations up 15% and 20% respectively compared to 2013. As we progress through 2014, the addition of approximately 3.6 billion of new capital projects is expected to positively impact future earnings. In addition, we continue to advance the balance of our $36 billion of large scale commercially secured infrastructure projects each of which is underpinned by long-term contracts with strong counterparties or cost to service business models. This blue-chip portfolio of integral energy infrastructure projects is expected to generate significant growth in earnings, cash flow, and dividends for our shareholders over the remainder of the decade. That’s the end of my prepared remarks. I'll now turn the call back over to David for the Q&A.
David Moneta: Thanks, Don. Just to reminder before I turn it to back over to the conference coordinator, we will take questions from the financial community first and once we have completed that we’ll turn it over to the media. So with that, I’ll turn it back to the conference coordinator for your questions.
Question:
and:
Operator: Thank you. We will now take questions from the telephone lines. (Operator Instructions) And the first question is from Paul Lechem from CIBC. Please go ahead.
Paul Lechem : I was just wondering on the main line filing, can you give us a sense of what the issues were around the LDCs, and why you have to refile, and what the outlook is there?
 CIBC World Markets: I was just wondering on the main line filing, can you give us a sense of what the issues were around the LDCs, and why you have to refile, and what the outlook is there?
Karl Johannson: Sure Paul this is Karl talking, we initially filed that application as a settlement filing. Now settlements are adjudicated in the NEB slightly different than contested to all application, it is part of an abbreviated process. And the Board typically wants to see more support for the settlement and maybe a little different process than we ultimately did to achieve that the LBC settlement. So the Board did come back to us and informed us that they will not process it as a settlement application and invited us to make an amended application and comeback as a tolls application which is what we’re doing right now. You can expect an amended application to go out sometime next week and we will proceed to the process as the contested toll application. The Board has come back and told us that they’re willing to expedite this hearing so we do expect to get this hearing the process completed before the end of the year still.
Paul Lechem : So the amended filing, does that have any impact on the financials of the filing, or is it really just a change in the process?
 CIBC World Markets: So the amended filing, does that have any impact on the financials of the filing, or is it really just a change in the process?
Karl Johannson: No we’re actually going to keep our original filing and we’ve just added some supplementary information to it that the Board had a couple of questions in their order. So we’re just clarifying a couple of the questions that they had just to make is more full some for a rate filing so the base filing that we did is still on the record and will still be used now as our application.
Paul Lechem : And just wondering if there's any updates on negotiations with the Ontario government in terms of refurbishment of the remaining units 3 to 6 on the Bruce Power, if there's any update there, and thoughts on does the Ontario election change anything, is there a delay from that, or any impacts from that?
 CIBC World Markets: And just wondering if there's any updates on negotiations with the Ontario government in terms of refurbishment of the remaining units 3 to 6 on the Bruce Power, if there's any update there, and thoughts on does the Ontario election change anything, is there a delay from that, or any impacts from that?
Bill Taylor: Sure it is Bill Taylor speaking, first part of your question with regards to the discussions. I can report that Bruce Power is continuing in its discussions with the Ontario government through their agency Ontario Power Authority. Those discussions are ongoing and so nothing really to report on the results of that other than mentioning that the discussions continues. And on the second item, with the news today regarding the lack of support for the Ontario’s tabled budget and the election that will ensue here in June or July. At this point we don’t have any perspective on how or that may affect negotiations. We anticipate that they will continue through that period while the election is underway.
Paul Lechem : Okay, and just do you have any thoughts in terms of when the negotiations might be concluded? Is this a 2014 event?
 CIBC World Markets: Okay, and just do you have any thoughts in terms of when the negotiations might be concluded? Is this a 2014 event?
Bill Taylor: At this point, I don’t have any visibility on that.
Paul Lechem : Okay, thank you.
 CIBC World Markets: Okay, thank you.
Russ Girling: Thanks Paul.
Operator: Thank you. The next question is from Carl Kirst from BMO. Please go ahead.
Carl Kirst : Thank you. Good afternoon everyone. I just wanted to focus a little bit on ANR, certainly, congratulations for getting that contracted, and my question is really twofold around ANR. First is with both the 2 Bcf a day that was signed as well as potential incremental, is any of that gas potentially going to move north? And is it possible then that maybe this could lead to firming up of some of the earnings on Great Lakes? So that's one question and then sort of the secondary question is just, sort of noticing here on the first-quarter results that ANR was down year-over-year, I think attributable to lower storage revenues, despite the winter weather, and I guess, perhaps leading in with the re-contracting of the Niska storage and dropping off capacity, I take that to mean you don't see any change in the storage market coming any time soon.
 BMO Capital Markets: Thank you. Good afternoon everyone. I just wanted to focus a little bit on ANR, certainly, congratulations for getting that contracted, and my question is really twofold around ANR. First is with both the 2 Bcf a day that was signed as well as potential incremental, is any of that gas potentially going to move north? And is it possible then that maybe this could lead to firming up of some of the earnings on Great Lakes? So that's one question and then sort of the secondary question is just, sort of noticing here on the first-quarter results that ANR was down year-over-year, I think attributable to lower storage revenues, despite the winter weather, and I guess, perhaps leading in with the re-contracting of the Niska storage and dropping off capacity, I take that to mean you don't see any change in the storage market coming any time soon.
Karl Johannson: Yes hi it’s Karl again. So let me deal with the first part first. Yes we have contracted about 2 Bcf a day of new volumes on the system. That volume will be coming on starting later this year it will be fully up in 2016 about half of it is going north. So we will see quite a bit of that half is going south and about a half is going north. Will that make its way on the Great Lakes? It’s a potential at this time it hasn’t but it is a potential if our customers want to access the Dawn market for example they go up into Great Lakes and then through St. Clair into our system and Dawn right. But right now we haven’t really sold any oaths like that but it is a potential there is quite a lot of volumes there and we’re as you can imagine we’re probably actively marketing that right now. The second question was ANR was down this last quarter and yes that’s correct although our transportation revenues were higher. We did see some higher costs but mostly O&M cost mostly related to TBOs we have to carry on other pipelines, we had a higher cost there, and we just had lower storage spreads in our area for that season. So it was modestly down yes.
Carl Kirst : Okay, and just maybe a quick follow-up, staying with pipes but shifting gears to the far north in Alaska, I was just curious, obviously very far-off project, but as the new framework comes into being, what does that mean for TransCanada's net development costs? Is that capped out or?
 BMO Capital Markets: Okay, and just maybe a quick follow-up, staying with pipes but shifting gears to the far north in Alaska, I was just curious, obviously very far-off project, but as the new framework comes into being, what does that mean for TransCanada's net development costs? Is that capped out or?
Karl Johannson: I am not sure what you mean capped out is it the development costs that we will incur over the next few months are fairly minimal and as we sort of do a pre-investment decision kind of analysis. Those costs will be capitalized because under the contractual structure they’re recoverable if the project doesn’t move forward. So they are not going to be material but they won’t affect earnings either.
Carl Kirst : Okay that's helpful, thank you so much, thank you guys.
 BMO Capital Markets: Okay that's helpful, thank you so much, thank you guys.
Karl Johannson: Thanks Carl.
Operator: Thank you. Our next question is from Matthew Akman from Scotiabank. Please go ahead.
Matthew Akman : Thank you very much. A couple questions on the main line and then on KXL. Regarding the main line, I read the NEB judgment that they really had no issue of substance with your application but more of process, so in that context I'm wondering if when you file in the coming weeks, whether you have any more support or consultation you've done to enhance the filing you made previously?
 Scotiabank: Thank you very much. A couple questions on the main line and then on KXL. Regarding the main line, I read the NEB judgment that they really had no issue of substance with your application but more of process, so in that context I'm wondering if when you file in the coming weeks, whether you have any more support or consultation you've done to enhance the filing you made previously?
Karl Johannson: Yes we’re as you can imagine we are talking to all the stakeholders that did not support that application and first of all I can’t agree with your assessment the Board was talking critical process when made that letter out and that’s what we’ll take care of when we file the next -- the amended application. We do plan on filling and putting more information in there that will hopefully solve some of the questions that they raised in their letter. And we’re consulting with the stakeholders that did not support the application. Right now I think it’s too early to say that we’re going to build or bring some more stakeholders on side with the application but we certainly are trying hard yes.
Matthew Akman : So just to confirm, this application is still separate from Energy East, correct?
 Scotiabank: So just to confirm, this application is still separate from Energy East, correct?
Karl Johannson: Yes, this is really where we’re working right now and what we call the LDC settlement, that’s a settlement we made for segmentation of our system and to allow our customers in the east part of our system to access other basins. So anything with Energy East will be filed with the Energy East application.
Matthew Akman : Okay thanks for that. On Keystone XL, maybe this is hard to answer, but I guess this is for Russ. Reading the Department of State language and what they said in their press conference, I mean is there any way you can really construe their reasons for delaying as part of a national interest test? To me, those were more really local parochial issues. How does that factor into a national interest test?
 Scotiabank: Okay thanks for that. On Keystone XL, maybe this is hard to answer, but I guess this is for Russ. Reading the Department of State language and what they said in their press conference, I mean is there any way you can really construe their reasons for delaying as part of a national interest test? To me, those were more really local parochial issues. How does that factor into a national interest test?
Russ Girling: Well I think we would have the same questions, our view is that they don’t I mean I think the three reasons they gave firstly that they need to give the agencies more time to complete their comments, I guess our view is after 5.5 years our thoughts would be that the agencies would have supplied all of their comments by this point in time. And the second reason was that they needed more time to process 2.5 million comments and that some of those comments had unique characteristics to them. We’re in the process of responding to those but I think our view at this point in time after 17,000 pages that it’s not 2.5 million comments, it’s one comment 2.5 million times. So again I can’t really see a reason why we have to, why the process gets delayed and then with respect to the third issue in Nebraska it’s a particular legal issue, it’s got nothing to do with the merits of the pipe it really is just a question of who has jurisdiction to make the decision and to approve the pipeline. Is it the governor of Nebraska or the public utilities commission? All the work was done by the Nebraska Department of Environmental Quality and embedded through the department of state, so anything that happens there isn’t going to have a material impact on the national interest determination. So I guess our view is -- maybe I am agreeing with you that there really isn’t a reason for this delay, at the current time we would help that we can work through these issues as quickly as we possibly can and get the process to a point of its decision.
Matthew Akman : Okay thanks. Those are my questions.
 Scotiabank: Okay thanks. Those are my questions.
Russ Girling: Thanks, Matthew.
Operator: Thank you. Our next question is from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven Paget : Good afternoon. Could you please comment maybe on the dollar amount of non-committed projects under development, or under evaluation?
 FirstEnergy Capital: Good afternoon. Could you please comment maybe on the dollar amount of non-committed projects under development, or under evaluation?
Russ Girling: I am not sure if I understand the question, Steven but if it’s -- the amount of extent that we have for projects that we’re working on that haven’t been capitalized yet, we have spent all of that and it would sort of just flow through as part of our business development expense.
Karl Johannson: I think Steven, is it fair to say you’re wondering about, so that the order of magnitude of the portfolio on a capital cost basis of opportunities that we may be looking at?
Steven Paget : Exactly. Over and beyond the CAD36 billion that you discussed at the AGM.
 FirstEnergy Capital: Exactly. Over and beyond the CAD36 billion that you discussed at the AGM.
Russ Girling: Okay. Sorry about that, Steven I mistook the question. So I could tell you the number is, they are probably another 30 billion or 40 billion, if we add up things like the Bruce Power restart, that’s probably a $10 billion to $15 billion kind of project. Alaska, at the 60ish billion dollars will end up with something probably between 10% and 25% of that project at the end of the day. We’re working on various things in Mexico for example that they have announced five or six new pipelines. The NGTL system, additional connects to more LNG facilities and continued expansions of the NGTL system, so I think you kind of add up that bundle of stuff it will probably get you to another $35 billion or $40 billion. What I call real kind of tangible things we are working on currently.
Steven Paget : Excellent, thanks, Russ. With Keystone, looking at the map, you could see that there's a pipeline that goes from Alberta all the way to the Gulf Coast, so there is system and it needs an expansion piece, XL, but how has the development of the Gulf Coast extension affected flows through Keystone, or in other words, how much of Keystone's oil now continues down the Gulf Coast extension?
 FirstEnergy Capital: Excellent, thanks, Russ. With Keystone, looking at the map, you could see that there's a pipeline that goes from Alberta all the way to the Gulf Coast, so there is system and it needs an expansion piece, XL, but how has the development of the Gulf Coast extension affected flows through Keystone, or in other words, how much of Keystone's oil now continues down the Gulf Coast extension?
Paul Miller: Yes. This is Paul Miller here the flows on Keystone continued to flow at about 530,000 barrels a day, what we’re seeing is those flows on Keystone continuing down to the Gulf Coast probably about $0.20 that’s some very big loads that Keystone feeds in the upper mid-west and at the Cushing market and we continue to serve those markets. But the added flexibility that Keystone’s according to the market has seen some of those barrels divert down to the Gulf Coast about 20% and we’ll also see flows of barrels being picked up right at the Cushing market as well so from a pro Gulf Coast flow perspective we’re flowing about 300,000 to 400,000 a day south of Cushing down to the U.S. Gulf Coast.
Steven Paget : Thanks, Paul. Those are my questions.
 FirstEnergy Capital: Thanks, Paul. Those are my questions.
Russ Girling: Thanks Steve.
Operator: Thank you. Our next question will be from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan : Good afternoon. Just to start on ANR, I'm just wondering with the new contracting, if you can give a sense of just the magnitude of the upside, or the recovery in results that you anticipate? And then just shifting to the expansion potential, just any color on potential magnitude of volumes, how big that could be, and then would that be compression or looping?
 RBC Capital Markets: Good afternoon. Just to start on ANR, I'm just wondering with the new contracting, if you can give a sense of just the magnitude of the upside, or the recovery in results that you anticipate? And then just shifting to the expansion potential, just any color on potential magnitude of volumes, how big that could be, and then would that be compression or looping?
Karl Johannson: Yes, so Robert, this is Karl here. The financial implications for that, keep in mind that we could see perhaps the volumes starting to come on later this year and the other half coming on during next year. So we will see the full impact to the fiscal year 2016. We’re expecting from 2016 we’re expecting to be back at an EBITDA number for ANR that would consistent to let’s say may be 2010, back to kind of what we consider our normal run rate. If we get a recovery of the storage market it might even be better but the 2010 EBITDA was in the 300 million range so we are expecting it to get back in that range in 2016. Your second question on the expansion, yes, we are working with some of our customers right now on expansion of that system. I am not sure there will be so much as a loop but it will be also new pipeline and we are going to be routing at them. Through to the Chicago area, interconnecting with the southwest portion of the ANR and planning the volume in around the Chicago area, so it will be a lot of new pave rather than just looping with existing infrastructure. So, we are just on the routing processes of brining that together and looking for foundation shippers so there will more to come on that as time goes by, volumes that we are looking at right now probably in the neighborhood of 2 Bcf a day.
Robert Kwan : That's great. My other question relates to the New York City capacity prices, the May auction cleared at almost CAD19 here. I'm just wondering if you have any color on what's a pretty nice increase year-over-year, as well as you go forward here, just your thoughts on the process as to where capacity prices you think are going?
 RBC Capital Markets: That's great. My other question relates to the New York City capacity prices, the May auction cleared at almost CAD19 here. I'm just wondering if you have any color on what's a pretty nice increase year-over-year, as well as you go forward here, just your thoughts on the process as to where capacity prices you think are going?
Bill Taylor: Sure. Robert, it is Bill. The first thing I’d say with regards to that is that you may recall that there was demand curve reset had established the capacity price parameters slightly down year-over-year as a result of that three year reset, so against that headwind the increase that you note has really been driven primarily by some reductions in available capacity in the city. I know in our own outlooks we were anticipating a return of some units that had previously come out of service due to forced outage and I think my explanation as to what’s going on at the present time with that price would be that some of those units have been a little slower to come back.
Robert Kwan : So you'd expect some of those mothballed units to come back online?
 RBC Capital Markets: So you'd expect some of those mothballed units to come back online?
Bill Taylor: That’s our view at the moment, yes.
Robert Kwan : Okay, that’s great, thank you.
 RBC Capital Markets: Okay, that’s great, thank you.
Bill Taylor: Thanks, Robert.
Operator: Thank you. Our next question will be from Linda Ezergailis from TD Securities. Please go ahead.
Linda Ezergailis : Thank you. I'm wondering from a capital expenditure perspective, what is the minimum spend on Keystone XL for 2014 and 2015, that you're obligated to do based on existing contracts?
 TD Securities: Thank you. I'm wondering from a capital expenditure perspective, what is the minimum spend on Keystone XL for 2014 and 2015, that you're obligated to do based on existing contracts?
Alex Pourbaix: Hi Linda, it’s Alex, you know we are -- I think our commitment for the balance of the year is kind of in the range of give or take 220 -- for the entire year is in the range of about 225 but the lion’s share of that is taken up with prior commitments, pipes, pumps, et cetera that have already -- that we’ve already accounted for.
Linda Ezergailis : Okay, thank you, and 2015?
 TD Securities: Okay, thank you, and 2015?
Alex Pourbaix: You know, we’re obviously doing everything we can to minimize the expense it is going to be in go forward years it’s going to be a small fraction of that.
Russ Girling: I think Linda, our 2015 spend will really depend upon your timing of the permit and if we’re fortunate enough to get a permit in early ’15 our intent would be trying to get that summer construction window if we can but we will be very cautious about how we spend our money in 2015, I think, unfortunately as we will be ramping down the cost this year as we ramp down into next year, and most of that is, there’s a lot of people that are in place planning and supporting this pipeline getting ready for construction and I think that the current decision means that we won’t be constructing this summer, so we’ll be ramping down bodies and if we need to ramp down into next year if it continues to get delayed we’ll just have to do that.
Linda Ezergailis : Okay, that's unfortunate. And the Houston Lateral is still targeted to be in service the second half of 2015?
 TD Securities: Okay, that's unfortunate. And the Houston Lateral is still targeted to be in service the second half of 2015?
Russ Girling: Yes, that’s correct.
Linda Ezergailis : Thank you and just one other clean up question. How much cash was collected in main line revenues above your regulated revenue booking, on your become statement?
 TD Securities: Thank you and just one other clean up question. How much cash was collected in main line revenues above your regulated revenue booking, on your become statement?
Russ Girling: Are you asking for a forecast of 2014 or you asking…?
Linda Ezergailis : Well, I'd love that too but I think that would be a little bit a gas call, just for Q1 would be great.
 TD Securities: Well, I'd love that too but I think that would be a little bit a gas call, just for Q1 would be great.
Russ Girling: The -- it was pretty substantial at Q1, it was probably in the neighborhood of $350 million over collection of our revenue requirement Q1 and we are forecasting and we will be filing some reports with the NEB up here next week or so showing that our full year collections will be substantially greater than our revenue requirement. Our revenue requirement for the full year will be about $1.6 billion and our collections will be slightly over $2 billion.
Linda Ezergailis : For the full year, okay. Wow, that's great. Thanks.
 TD Securities: For the full year, okay. Wow, that's great. Thanks.
Operator: Thank you. Our next question is from Juan Plessis from Canaccord. Please go ahead.
Juan Plessis : Well, thanks very much, now with the recent long term contracts you've negotiated for ANR, would you see that system as sufficiently contracted for consideration as a sale into the LP, or would this be considered only after assessing future expansion potential for the system?
 Canaccord Genuity: Well, thanks very much, now with the recent long term contracts you've negotiated for ANR, would you see that system as sufficiently contracted for consideration as a sale into the LP, or would this be considered only after assessing future expansion potential for the system?
Russ Girling: I guess a short answer is yes, we are targeting as part of our financing program for this $38 billion of capital projects to probably bid in overtime all of our assets in the U.S. and the LP so certainly the contract and work we’re doing in ANR is making it more attractive for the LP to take more stability in long-term contracts. We would also as part of our ongoing support for the LP we’ll be continuing to do the expansion projects within TransCanada and bidding those projects in afterwards even if we had abandoned this in the LP. So I think the short answer to your question to your question is yes, it is on our financing plan on our radar that these plants are probably more efficiently held in the LP and as we need money for our capital program we’ll be bidding them all in and this particular outcome is actually quite good for that.
Juan Plessis : That's great, thanks, and this question perhaps for Bill. In the MD&A, you've given us the hedged amount for US Power in 2014 and 2015. Can you tell us what percentage of expected western power sales volumes are hedged for the rest of the year, and for 2015?
 Canaccord Genuity: That's great, thanks, and this question perhaps for Bill. In the MD&A, you've given us the hedged amount for US Power in 2014 and 2015. Can you tell us what percentage of expected western power sales volumes are hedged for the rest of the year, and for 2015?
Bill Taylor: Actually, I can’t. We refrain from giving that detailed information given the competitive sensitivity of it in the Alberta market, but I can tell you that our approach at the present time to hedging is similar to that which we have pursued in the past.
Juan Plessis : Okay, thanks for that.
 Canaccord Genuity: Okay, thanks for that.
Bill Taylor: Thanks Juan.
Operator: Thank you. Our next question will be from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske : Thank you. Good afternoon. I guess my question is for Alex, and this is a bit of maybe bigger picture, longer term question, but there's been some talk in the Ontario power market on potentially going to a capacity market in the future. I guess, what's your thoughts as one of the biggest generation holders or owners in the province aside from OPG, on any potential transition to a capacity market, because you do have, obviously, capacity market exposure elsewhere?
 Credit Suisse: Thank you. Good afternoon. I guess my question is for Alex, and this is a bit of maybe bigger picture, longer term question, but there's been some talk in the Ontario power market on potentially going to a capacity market in the future. I guess, what's your thoughts as one of the biggest generation holders or owners in the province aside from OPG, on any potential transition to a capacity market, because you do have, obviously, capacity market exposure elsewhere?
Alex Pourbaix: Andrew, it’s Alex, I would love to answer that, but Bill probably throws his pen at me so maybe I let Bill give his thoughts on that.
Bill Taylor: Well, I mean, I guess I would start by saying that the experience in U.S. markets with capacity markets has been -- it’s been an evolving process and as you know from studying it yourself I’m sure there has been some challenges in the NEPOOL context for example in terms of refining that market and similarly in New York. I mean I guess our perspective on Ontario is that the market at present is largely an energy balancing market and the number between direct rate regulation in the form of OPG or direct contracting in the form of the bulk of the other generation in Ontario some of which we own and operate and included in that category would be Bruce Power. The bulk of the market is largely under contract so the notion and support behind the need for a capacity market in Ontario our view is that questionable.
Andrew Kuske : Well I guess longer term it's really driven in part by their balance sheet and the inability to afford some of the contracts, but I digress. Do you see this potential though in, say, the mid 2020s, for some of the PPAs roll off for a capacity market?
 Credit Suisse: Well I guess longer term it's really driven in part by their balance sheet and the inability to afford some of the contracts, but I digress. Do you see this potential though in, say, the mid 2020s, for some of the PPAs roll off for a capacity market?
Bill Taylor: Well, I think at this juncture the conversation seems to be driven more by the need by the ISO’s concern over relating the Ontario market to adjacent markets as well as the systems turnover concern that they have. So we’re kind of engaged in that process right now with the ISO and Ontario relative to looking at that. And we haven’t really turned out attention to that capacity market being a replacement for sort of end of contract time period. It’s just more being trying to address the immediate need as to whether or this is something that really needs to be done right now.
Andrew Kuske : That's very helpful. And then I guess more specific to the here and now, do you see any opportunities in the foreseeable future to really expand the nuclear presence, and not just at the Bruce, the Bruce is obvious, but with some of the OPG holdings at Darlington?
 Credit Suisse: That's very helpful. And then I guess more specific to the here and now, do you see any opportunities in the foreseeable future to really expand the nuclear presence, and not just at the Bruce, the Bruce is obvious, but with some of the OPG holdings at Darlington?
Bill Taylor: Our focus right now is just relative to the effort that is underway at Bruce Power. I think you maybe referring to some comments that Bruce Power made in the media a few weeks ago and I think those comments were maybe largely misconstrued. The reality is the government has in the past encouraged Bruce Power and OPG to consider where they can find efficiencies between the efforts that they’re undertaking in the market and we of course are supportive of Bruce trying to do that because any efficiencies that can be gained would be helpful to Ontarians and potentially to Bruce Power. But we’re not really looking beyond that effort of Bruce.
Andrew Kuske : Okay, great thank you.
 Credit Suisse: Okay, great thank you.
Operator: Thank you. Our next question is a follow-up question from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven Paget : Thank you. You've discussed potential in the past regarding the extension of NGTL on the Coastal GasLink, and the second hub in Central BC. Is that still a possibility?
 FirstEnergy Capital: Thank you. You've discussed potential in the past regarding the extension of NGTL on the Coastal GasLink, and the second hub in Central BC. Is that still a possibility?
Alex Pourbaix: Steven, it is Alex. We held the request for service. We did get a significant amount of interest from parties requesting service in the Vanderhoof area, so as I under Karl might want to jump in but I think we’re working with those parties to finalize their interests and if we get that commercial underpinning NGTL will file a NEB application.
Steven Paget : Thanks, Alex.
 FirstEnergy Capital: Thanks, Alex.
Operator: Thank you. Our next question is a follow-up question from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan : Thanks, actually just following on the NGTL topic. Just when you move the system into NEB regulation and across the board, you face pretty minimal resistance on rolled-in tolls. I’m just wondering, as the projects get bigger and maybe a little more specific to certain producers, I’m wondering if you’re seeing any greater opposition rolled-in tolls?
 RBC Capital Markets: Thanks, actually just following on the NGTL topic. Just when you move the system into NEB regulation and across the board, you face pretty minimal resistance on rolled-in tolls. I’m just wondering, as the projects get bigger and maybe a little more specific to certain producers, I’m wondering if you’re seeing any greater opposition rolled-in tolls?
Karl Johannson: I think you’ve asked good question. I guess answer today is that the opposition rolled-in tolls are typically coming from our competitors and not the people not the customers on our system. So as of today I would say no greater opposition rolled-in tolls. I would say the Board is mindful of that. I think two years ago we had an application turned down because feel not support for rolling particular toll that was the Komie North applications. So I know the Board is mindful of it but as for actually shipper on our pipeline we haven’t seen any resistance with them or any initiative on their part to try and change how we will in our tolls. But certainly we do get some interventions from competitors who prefer we not do that.
Robert Kwan : Okay, thanks, Karl. And just a very quick last question, just on Bruce. I think your booking the B units based on the floor. I’m just wondering, are you able or are you quantifying what the deferred revenue amount on the revenues you earned but didn’t book during the quarter?
 RBC Capital Markets: Okay, thanks, Karl. And just a very quick last question, just on Bruce. I think your booking the B units based on the floor. I’m just wondering, are you able or are you quantifying what the deferred revenue amount on the revenues you earned but didn’t book during the quarter?
Karl Johannson: Obviously we’re tracking that but for the first quarter the amount had we recorded that would have been roughly $0.35, but because we don’t feel that we realized that over the course of the year. We didn’t record that in our first quarter earnings.
Robert Kwan : Sure makes sense, okay thank you.
 RBC Capital Markets: Sure makes sense, okay thank you.
Operator: Thank you. Our next question is also a follow-up question from Carl Kirst from BMO. Please go ahead.
Carl Kirst : Thanks. Appreciate the time here. Russ, this is really just more of an XL follow-up, and I guess the question, just so I'm thinking about it correctly is, if we have the Attorney General of Nebraska already filing an appeal, and we already have a route that's been approved by the DEQ, is there any downside from taking a parallel path filing with the utility commission, just to get the clock to start ticking?
 BMO Capital Markets: Thanks. Appreciate the time here. Russ, this is really just more of an XL follow-up, and I guess the question, just so I'm thinking about it correctly is, if we have the Attorney General of Nebraska already filing an appeal, and we already have a route that's been approved by the DEQ, is there any downside from taking a parallel path filing with the utility commission, just to get the clock to start ticking?
Alex Pourbaix: Carl, it is Alex. Right now the position we’re taking at I think that is an option that is available. We will obviously consider that but I think right now we’re focused on the legal route through the appeal, the Attorney General and the Governor. They feel that they have a very strong case so we’re going to be focused on that but at the same time we’re going to make sure we keep our options open.
Carl Kirst : Okay, fair enough and just a quick follow-up for Don. You had mentioned with respect to the first quarter income tax rate of 27%, when you exclude the pass through items. Is that something that we should expect for the rest of the year?
 BMO Capital Markets: Okay, fair enough and just a quick follow-up for Don. You had mentioned with respect to the first quarter income tax rate of 27%, when you exclude the pass through items. Is that something that we should expect for the rest of the year?
Don Marchand: I think for the rest of the year and actually first look in 2015 something to 27% to 28% area looks reasonable right now, little higher in the Canadian statuary rate. What’s driving that is growing income from higher tax jurisdiction mainly the U.S. with Gulf Coast coming on some expect to recovery in ANR and US Power.
Carl Kirst : Okay, thank you so much guys.
 BMO Capital Markets: Okay, thank you so much guys.
Don Marchand: Thanks Carl.
Operator: Thank you. We will now take questions from member of the media. (Operator Instructions) And our first question is from Chester Dawson from Wall Street Journal. Please go ahead.
Chester Dawson : Yes hi thank you. My question is regard to rail terminals and whether it’s due to the keystone delay or otherwise can you provide anymore specificity on how seriously you’re looking that and how soon my might move into if it’s an area that you do want to get out into?
 Wall Street Journal: Yes hi thank you. My question is regard to rail terminals and whether it’s due to the keystone delay or otherwise can you provide anymore specificity on how seriously you’re looking that and how soon my might move into if it’s an area that you do want to get out into?
Bill Taylor: I will take a first cut at it and then Paul or Alex might take a shot at answering that as well is it, obviously with the delays the production in the Canada and U.S. has continued to rise. The whole notation that delaying the pipeline is going to somewhat delay production is obviously misguided given that production is up about 1 million barrels a day in Canada and 2 million barrels a day in the U.S. So rail volumes are on the rise. Our customers have asked us to look at a rail bridge between Alberta and U.S. points and places like the delivery points on our eastern pipeline system. I’d say that since the delays, the intensity of those calls has gone up quite substantially. And our team is engaged in active discussion with them to determine whether to now there is commercially viable and if they are then we’ll bring them forward. But I would say that the last couple of weeks that that activity has obviously, has obviously increased quite a bit.
Alex Pourbaix: I’d only add to that our shippers recognize fully the value of Keystone as a preferred mode of transportation but they also recognize the value of having rail as a bridge to pipeline development, so we’ll have conversations with them, we’ll review this opportunity and progress it as the parties feel is appropriate.
Chester Dawson : Thanks and just a follow-up quickly on that. Is that something that you’ve already begun planning in terms of blueprints for routes or is it just very much in the conversational stage and secondly what about beyond that route, are there other areas where you think rail terminals might be a solution.
 Wall Street Journal: Thanks and just a follow-up quickly on that. Is that something that you’ve already begun planning in terms of blueprints for routes or is it just very much in the conversational stage and secondly what about beyond that route, are there other areas where you think rail terminals might be a solution.
Alex Pourbaix: From a routing perspective TransCanada’s interest would be limited to the on loading facilities and the offloading facilities, the intent would be to use existing rail infrastructure and then regard to locations for those particular terminals again we would view those terminals to be optimally in place at obviously the supply side as well as the market side, proximate to our existing infrastructure or our planned infrastructure. So we’ve done a lot of work in scoping out locations, we’ve done some work in regard to design and so it does position us well, to the extent that our customers want us to proceed on this and again to the extent that we can reach an appropriate agreements with them to do so.
Russ Girling: It is something Chester, that we can move on relatively quickly, we’ve done a pretty substantial amount of work at the terminal end and mostly at the receipt and delivery points and that’s really what our key role in here would be, you know a lot of the tankage is already in place so it’s a matter of building rail sidings and those kinds of things which aren’t overly complicated and we have spent some time engineering those things.
Chester Dawson : Okay, thank you.
 Wall Street Journal: Okay, thank you.
Operator: Thank you. (Operator Instructions) Our next question is from Iris Kuo from Argus Media. Please go ahead.
Iris Kuo : Hi there, first of all what are your thoughts on the bill and the senate that would force approval of Keystone, this is something that you support or think is likely to pass?
 Argus Media: Hi there, first of all what are your thoughts on the bill and the senate that would force approval of Keystone, this is something that you support or think is likely to pass?
Russ Girling: Before I make any comments on the likelihood or anything or anything like that, our view is that there’s a, anything that sort of advances the decision on Keystone pipeline is something that we would support, there’s a lot of work that’s been done to date, obviously five and a half years, 17,000 pages and five environmental reviews, there’s enough information available to make a decision, our focus though isn’t on political process our focus is on the regulatory process which is to continue to work with the state departments and to try to answer all their questions and bring this to a point where they no longer have any questions and they can move to recommendation and make a decision, that’s our focus at the current time and but you know obviously we continue to appreciate the support of many others that want to see this decision made as soon as possible.
Iris Kuo : Got you, and then just to confirm something that was said earlier, was it the throughputs on Gulf Coast pipeline are about 300,000 or 400,000 barrels a day, was that correct.
 Argus Media: Got you, and then just to confirm something that was said earlier, was it the throughputs on Gulf Coast pipeline are about 300,000 or 400,000 barrels a day, was that correct.
Russ Girling: Yes, that’s correct.
Iris Kuo : And can you tell us how much of that is heavy crude?
 Argus Media: And can you tell us how much of that is heavy crude?
Russ Girling: I don’t have that mix it does have the ability to take the domestic lights as well as any heavies that find a way down to the Cushing market, so it is a combination of the heavies and the lights. I just don’t know what the percentage is.
Iris Kuo : Okay, and then just sort of a more general question, Cushing inventories are think it is five year lows and Gulf Coast inventories are at record highs and that’s something that’s attributed obviously to the start up of the Gulf Coast pipeline. Could you share any general thoughts on just U.S. inventory dynamics, as well as what the current situation might be expected, what kind of impact it might be expected to have on throughputs on the pipeline.
 Argus Media: Okay, and then just sort of a more general question, Cushing inventories are think it is five year lows and Gulf Coast inventories are at record highs and that’s something that’s attributed obviously to the start up of the Gulf Coast pipeline. Could you share any general thoughts on just U.S. inventory dynamics, as well as what the current situation might be expected, what kind of impact it might be expected to have on throughputs on the pipeline.
Paul Miller: Sure, maybe I’ll start with the second question first, with regard to the throughput, though we anticipate throughput, obviously averaging north of 400,000 barrels per day, this year as we ramp up the capability of the system, of that let’s call it mid 400,000 range, more than three quarters of that is contracted under take or pay contracts which means that the shipper is obligated to pay us for that capacity whether they ship or not, so for me, throughput perspective we’re all watching the inventory levels at Cushing but we’re also watching the new production coming on the Permian as well as some inbound pipelines that we have take later on this year, so, don’t see any, so we don’t see any decrease in the throughputs on our extension down at the Gulf Coast, in fact did you throughput increasing as the year goes. In regards to the general inventory levels at the Gulf Coast do you see barrels continuing to flow down from Cushing down to the U.S. Gulf Coast, domestic consumption has pushed out the foreign lights, I think with blending and other techniques the domestic production will continue to push out the medium and perhaps medium solid and I do see movement from Gulf Coast up to other points within the United States and Canada some of that domestic crude that’s coming in from lakes of Eagle Ford. So that will make you see changing market dynamics going forward. I think you’ll see a general build of inventory on the Gulf Coast which will necessitate additional storage but I think we’ll also meet additional barrels moving to other parts of United States and Canada.
Iris Kuo : Got it. And I apologize who was just speaking?
 Argus Media: Got it. And I apologize who was just speaking?
Paul Miller: I’m sorry it’s Paul Miller.
Iris Kuo : Okay, thank you very much.
 Argus Media: Okay, thank you very much.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. David Moneta.
David Moneta: Okay, thanks very much. And thanks to all of you for your interest in TransCanada. We very much appreciate your time this afternoon. We know it’s been a bit long day with AGM and other things but once again thanks and we look forward to talking to you soon. Bye for now.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.